Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2013 eMagin Corporation Earnings Conference Call. My name is Derrick and I will be your operator for today. At this time, all participants are in a listen-only mode. We shall facilitate a question-and-answer session towards the end of the conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Paul Campbell, Chief Financial Officer. Please proceed.
Paul Campbell: Thanks, Derrick, and welcome everyone to eMagin Corporation’s First Quarter 2013 Earnings Conference Call. I’m here in our Hudson Valley facility today alongside our CEO, Andrew Sculley, and we’re looking to reviewing the quarter with you. However, as always before we begin, I’d like to remind you that we will be referring the numbers that are part of our 10-Q for the first quarter ended March 31, 2013. During today’s call, we may make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on the company’s current expectations, projections, beliefs and estimates and are subject to a number of risks and uncertainties. Such statements include references to projections of future revenues, plans for product development and production, the company’s ability to ramp up production at its manufacturing facilities, future contracts and commercial arrangements, future product benefits, future operations, liquidity and capital resources as well as statements containing words like believes, expects, estimates, plans, target, will, intend, could and other similar expressions. Risk factors are included in the company’s Form 10-K for 2012 which is on file with the Securities and Exchange Commission. Except where required by federal securities laws, we undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, and changes in circumstances or any other reasons. Okay, with that said, I’d like to turn it over to Andrew Sculley.
Andrew Sculley: Thanks, Paul. And thanks everyone for joining us on the call today. I would like to begin with some highlights for the first quarter of 2013, Paul will then discuss our financial results, after that I’ll update you on some specific programs, and then we’ll open up the call for questions. Revenue for the first quarter of 2013 was $8.5 million, up 39% versus the first quarter of 2012. This was a record first quarter for the company. It was in line with our expectations and we’re very pleased with this result. A component of this revenue was the sale of 55 design reference kits or DRKs as we call them, of which 17 were for the WUXGA and the digital SVGA displays. These are two of our newer displays and the design reference kits indicate that customers are designing these displays into their products. So we feel very good about that. We continue to see robust demand from both domestic and international customers across our market segments, as the market for the near to eye and heads-up microdisplays continue to grow. In a new market research report, insight media forecast significant year-over-year microdisplay unit growth with demand more than doubling to almost 24 million units by 2017 from about 12 million units in 2013, those are of course microdisplays. As OLED technology continues to advance, and we of course are advancing it, we believe that much of that market will be addressed by OLED. Based on our technology leadership including our new digital SVGA, EXGA display, and VGA displays, plus our high brightness OLED technology along with growing demand, both domestically and internationally and continued financial strength, we believe we are well positioned to address this growing market over the next several years. Now, let me give you a brief update on our recent activities. This past quarter was the first quarter where a sizable amount of production on the OLED deposition tool was done. That’s our new OLED tool from SNU precision. The more experience our operators and engineers get by running the new tool, the more fine-tuning can be done to bringing it up to its full capabilities. We are applying process and procedural enhancements on the tool. Our engineers are working very hard bringing it to where it needs to be and we believe this will lead to the volume and yield expectations that we had in the beginning when we bought the tool. Our colleagues at SNU are working closely with us in this process. While the yield from the SNU tool is not where we want it to be, we believe it will achieve our design specifications. Today, the output from the SNU tool is already surpassing that of the existing Satella machine. From a yield perspective, we anticipate improvements each month and expect that the yield from the SNU will exceed that of the Satella later this year. We are making other manufacturing improvements as well. For example, we have recently installed Eyelit’s MES system software to enable product traceability and precise manufacturing controls for the company’s complex processes that combine both semiconductor and display technologies for our microdisplays. We should see this benefits from the software beginning this quarter. Just to give you a better feel for that, in order to improve things like yield, you need to know at every step what happened and that’s something that this system will help us with and we’ll continue to enhance the system with more modules like statistical process control et cetera. We are also investing in other new equipment and a couple of examples there. We are looking at a new – actually buying a new dye attach tool, which replaces an inefficient manual process, and by that I mean, we attach the silicon wafer with the display on it to the circuit board and that is done by hand today and so we’re replacing that with a automatic machine. The other thing we’re doing is we’re getting some new equipment for measurement so that we can count better, the issues like particles on our wafers at various points in the process. Today, we do things like that by hand. So this is a type of thing that we’re doing to make our process much better, it’s not only the OLED deposition machines. As to the other developments during this quarter, we are in the final stages of completing a significant long term agreement with a new customer whom we can’t name at this point. For substantial amount of revenue for a military program, in the meantime we’ve already began shipments on a – at a basis before the final agreement is done, to start them off on production. So we’re very happy about that. We’ve also continued shipping large numbers of display bean combiner assemblies, DBCAs as we call them, which is an SVGA display subassembly, that includes some optics for our customer Exelis Geospatial Systems and formerly ITT. And this is for the enhanced Night Vision Goggle 2 program. And again just to remind you, this is a modernization program for the U.S. military and our display is the display of choice for that program. XLS was also awarded the next Night Vision Goggle production program for project year 3 of this enhanced Night Vision Goggle 2 program, and we expect deliveries to continue well into 2014. We also continued our work for the U.S. Navy designing and building a high brightness color, 2000 x 2000 resolution display for and this is now there. This work is targeted for avionic head-mounted displays and high performance portable goggle sustains. During the quarter, we also made progress in completing our new XGA display, which is targeted for many of the leading digital camera companies. First shipments we expect now to be late this year and continue into early next year. And we’re working now on further improvement of the product and that work is ongoing. In high-end cameras in particular, OLED based viewfinders are extremely useful. All those good qualities that the military uses like high contrast, no temperature issues worked very well here as well. And as a reminder, the electronic viewfinder will give a smaller simpler camera than an optical viewfinder. It gives the ability to track motion images through the viewfinder while taking motion pictures. We can’t do that with an optical viewfinder and you can put additional information in the viewfinder like camera settings, battery life et cetera. Here Insight Media has a forecast for the digital still camera viewfinder market, they predict significant growth over the next five years to approximately 17.6 million units, that’s in 2017 from less than 7 million units they forecast at 2013. We think we’re in very good position to capture significant share in this market with our XGA display. Let me take a few minutes to briefly review our current products with you. We have a line of products that is better than any other OLED manufacturer and this is recognized by our customers both in the military side and in non-military. So first, our flagship resolution product, that is until the 2000x2000 comes out, it today is the wide UXGA display, it has a resolution of 1920x1200. So as a reminder, I always said this is higher solution than your full HD TV and this is suited for a wide range of applications. It is as a reminder against the highest resolution OLED for color micro display in the market, it’s very power efficient even though it’s very high resolution and has a very high contrast can operate across a wide range of temperatures. Next is our SXGA, OLED XL which we supplies an electronic viewfinder to a digital motion picture camera manufacturer and also to a high-end Japanese manufacturer. We have taken our ability to shrink the pixel size and produce the new SXGA display at 9.6 micron pixel pitch. This we have targeted both commercial and military applications that require this resolution, but want a smaller size. Our SVGA plus display is our oldest and largest volume product even today. The SVGA plus can be made as full color or monochrome display, either monochrome white or green or we even did yellow. It is sold for military and commercial applications. In the military applications, they’re both for night vision goggles and Thermal Weapon Sites. Examples of commercial applications are training and stimulation for eye surgery, this is one of the customers, also electronic viewfinders with thermal cameras, that’s clear. And for portable ultrasound device for veterinarian medicine made by BCF. So many products or many different customers use this particular product. We’ve also developed a new digital version of our – this largest running SVGA product. This is much more uniform product, it incorporates the great features of our other digital products like automatic color correction over temperature and luminance, and it has virtually no motion, blur, and it has full dynamic range at low luminance. So all of those things we put into that silicon backplane design we’ve incorporated in this now. These features of our digital products are critical for our military customers and I’ve said this before there it’s – I need the full dynamic range low luminance, because when I take the night vision goggles off, I want to be able to see in the dark, but I need to see in the shadows even with night vision goggles on. And so does that customer who uses our product for a digital motion picture camera. It also has to work under various temperature conditions, et cetera. In terms of product development, we also have prototypes of our XGA display with significant improved color gamut. This product is ideal for high-end consumer electronics, viewfinder applications and our targeted customer with whom we’re working is considering this product for its next generation in-camera viewfinder. We’re also continuing to develop the 2000 x 2000 resolution display that I mentioned above, that when combined with our high brightness and direct patterning will be ideal solution for avionic application. So here we can have either monochrome green or full color and this is what NAVAIR wants us to do. The pilots need to be able to see icons during the day, so you have bright light, looking through the viewfinder and you have the displays putting icons on it, they need to be able see that, but they also want night vision at night, and we did a few tests with our color display and they loved it. So now of course they want high brightness color. That’s a good thing for us to be working on. This display can do all the things they need. Our current monochrome green display has a brightness capability that it can run at 15,000 candela per meter squared, or to put it in other language, it’s more than 40 times brighter than a typical TV in your house, so that gives you a feeling for how bright it can be. And again you know why it has to be that bright for the jet fighter pilot. And yet it has outstanding contrast of 100,000 to 1 at normal luminance and even at that extreme high brightness that I mentioned just over 15,000 candela per meter square, it can have a contrast of 50,000 to 1. That’s very tough to do, and no one else to our knowledge can do that today. And this is from going to conferences like the SPIE conference in Baltimore and having other companies present. These are two of the qualities that make it perfectly for avionics but really it also fits for other augmented reality opportunities. Also, we have already demonstrated an 8.1 micron pixel pitch with three sub pixels for color display. This gives us the smallest pixel pitch for an OLED micro display. The smaller pixel pitch of course means more displays will fit on a wafer and that means we can make the displays at a lower cost. We own our website at www.emagin.com, we do have additional information on our products. We direct our customers there. If you want to take a look, please do, and if you have any suggestions we’d be interested in what you have – what you think of our website. Now I’m going to turn it back over to Paul, who’ll take you through our financial results.
Paul Campbell: Okay. Thanks, Andrew. As Andrew mentioned our total first quarter 2013 revenues were $8.5 million. That’s versus $6.1 million for the year ago quarter, a 39% increase. That was very strong performance. This was our best quarter, best first quarter total revenue ever and we had a record product revenue, the most revenue in a quarter from display sales ever in our history. So we had a – just a very strong quarter in revenue and specifically in display sales. So we have to give our manufacturing team, they did a fine job getting these displays built while they were bringing up a new deposition tool. Well, breaking down that net revenue, of the $8.5 million, product revenues accounted for just over $8.1 million and this is 14% more than our previous record of $7.1 million in product revenue in Q2 last year. So not only was it a record but it was a big improvement on the old record. The increase in product revenue resulted from an increase in both the number of units sold and an increase in the average selling price per unit. The average – the increase in average selling price was due to the mix of products sold and to the mix of customers and their respective volume price agreements. Andrew mentioned that we continue to shift to the GBCA module to XLS, formerly ITT and we did a significant quantity of it in Q1. The price of the modules is higher than just for a display. So these modules added to the average price per unit sold which is part of our strategy and in doing modules. The mix of customers was a bit different than Q1 last year and last year we had a large number of units sold to our customer under a volume price agreement that was at a lower price. So we had a much – this all resulted in a much higher average price first quarter this year. Our R&D contract revenue in the first quarter was $374,000 and this is 4% revenue versus $307,000 last year or 5% of revenue. In Q1, even though R&D contract revenue increased, we had just one active R&D contract versus five in the first quarter of 2012. While we expect to continue to be successful in winning new R&D contracts and we have some potential new contracts working even now, this is an area where government budget issues can impact the number of R&D contracts we get and the amounts awarded to imaging. However they do represent a fairly small portion of our total business. Gross margin for the first quarter of 2013 was 44% of revenue or $3.8 million compared to 44% of revenue or $2.7 million for the same quarter last year. The gross margin percentage was flat year-over-year where we would have expected an improvement with the increase in volume. So this was due to the cost per display increasing in first quarter this year compared to last year. Primarily due to higher manufacturing cost associated with the start-up of the new OLED deposition tool and to running both deposition tools for production in the quarter. So we’re running two deposition tools and that’s not as efficient and we’re also bringing up the new tool at the same time. It is expected the cost per unit will decrease as we make adjustments and further optimize a new tool. We expect yield to improve and we will transition all of the production to the new deposition tool. The R&D contract gross margin was a modest 159,000, but it was a 4% increase over Q1 last year and 42% of R&D contract revenue compared to 50% of revenue for the first quarter last year. Contract gross margin is dependent upon the mix of internal and external costs with external costs causing a lower gross margin and upon the nature of the specific contract work done in the quarter. Moving on to operating expenses, which are comprised of internal non-funded R&D expense and selling, general and administrative expenses or SG&A. R&D expense rose 4% from Q1 last year to $1.2 million primarily due to new technology development including our work on the new direct patterning technology that Andrew mentioned in the technology that does away with color filters and gives us a lot higher efficiency in the display. SG&A expenses for the first quarter decreased to $2.2 million or 26% of revenue versus $2.3 million and 38% of revenue for the first quarter last year. So we did a really good job to actually have the SG&A go down quarter-over-quarter. We haven’t needed to add much personnel infrastructure development since last year as we already have in place a lot of the SG&A type infrastructure needed for further growth. In addition, we controlled our Q1 discretionary expenses very well. The decrease in SG&A was due primarily to a decrease in stock compensation expense and accounting fee expenses. Income from operation was $0.3 million in the first quarter versus the loss of $0.7 million in Q1 last year, so we made a big improvement there with some profitability versus a loss last year in the quarter. Net income for the first quarter was $0.2 million, or $0.01 per diluted share, compared to a loss net $0.5 million, or $0.02 per diluted share. Adjusted EBITDA increased to was $1.2 million from just $41,000 in Q1 last year. At March 31, 2013, our backlog was approximately $12 million, but we had an additional $2.5 million for the new program that Andrew mentioned previously where we were – we are and have been shipping displays, but we have not received a POs for that entire order, so it’s not included in the backlog number. If you included that, the backlog would be $14.5 million. As a reminder, our backlog reflects display orders only, so no R&D contract numbers in there and so it’s product revenue orders only and consist primarily of short cycle time, non-binding POs and so therefore it’s not necessarily a great predictor of future revenues because of the nature and the short cycle times. Based on our market expectations, expectations for the performance of the new OLED deposition machine, our current backlog and business condition, we are reaffirming our 2013 total revenue guidance between $34 million and $39 million, so no change from our original guidance. Looking at the balance sheet at March 31, we had cash, cash equivalents, which include CDs and corporate bonds of $14.4 million compared to $13.4 million at the end of 2012. And you recall at the end of 2012, we paid $3.1 million dividend to our investors. During the first quarter of 2013, there were no additional purchases of eMagin shares under our stock repurchase program, so we still have about $2 million remaining in that stock repurchase plan. We continue to have no debt and we have been self funding with positive net free cash flow for more than four years now. And in summary, we remained financially strong, our business is growing and well controlled and we’re looking forward to the rest of 2013 and beyond. And with that, I’ll turn it back over to Andrew for some update on some specific programs.
Andrew Sculley: Thanks, Paul. And as Paul said, I’ll update you now on some specific programs. First of all, we made some very significant improvements to our color display technology. We now have the brightest color OLED microdisplays. We can run the display at a 1,000 candelas per meter square inch color and just again to give you some something to tie that to, just in case you’re not display technical but it’s about three times as bright as your TV. And we can run it in monochrome white at 5,000 candelas per meter squared. So this is about four times of improvement, we’ve made in this versus our current color or a monochrome displays. We can make this OLED technology and put it on any resolution display we have and we can supply the displays with this technology. Some other statistics are the luminance efficiency which is 50% better than our current displays and at the same brightness, as our current display, this technology uses one half the power. So it’s a great advance we’ve made, we’re very happy with it and we’re going to commercialize it. There have been a number of companies that have asked us for high brightness color displays and this improved color display can be especially important for both the military and augmented reality markets. So again, this is in our direct patterning that will take more time but this is a step in that direction. So, very significant improvement. Next, again, I mentioned the digital SPGA, this product is in qualification and expected to be released for production in June. Customers are already developing new applications that take advantage of the displays features and that includes the same great features embodied in other micro-displays, the new ones, like improved contrast and improved pixel-to-pixel uniformity. The contrast in this case is 100,000 to 1 at nominal, normal luminance as opposed to about 10,000 to 1 so, significant improvement in the display. And early samples have been sent to key customers. The other important thing that most everyone of our customers ask us for is about power and this display also gives close to a 20% more efficient than our old SVGA products, so good step-forward. Regarding the new XGA, good progress has been made on the viewfinder applications with a large camera manufacturer. The XGA will allow us to enter this market with an effective, efficient display that meets the requirements and it’s also more economical to produce because its smaller than our larger runner displays. And the color gamut has already been greatly improved is highly competitive, but we’re taking additional steps to make sure or to get it to even higher than it is now. We’re continuing to work on direct pattern OLED technology which when complete will result in displays with no color filters and just removing the color filters alone will increase the performance by a factor of four or five. Color filters by design take out two-thirds of the light and they are not 100% efficient, that’s why we get the four to five times. That plus our advanced OLED technology will result in high brightness color displays, which can be run at 5,000 to 10,000 candelas per meter square, that’s bight enough for a jet fighter to see the icons while flying in daylight and is bright enough for an augmented reality headset to be used outside in bright light. Again, we expect these displays to have outstanding contrast ratios similar to our monochrome high brightness displays that’s a 100,001 for normal brightness and even if extreme brightness we expect 50,000 to 1. As mentioned above, there have been a number of companies that have ask us for high brightness color displays and that’s why this is important to us. We also have been asked to hit these high brightness marks at very low power and we do have a path to get to this as well. The U.S. army light thermal weapon sight program was awarded last year and we’re continuing to make deliveries on it. The significance of this program to us is that eMagin has really become a mainstream provider of choice with thermal weapon sights and that is, if you look at the military market that is the biggest. We started out with smaller programs like the Javelin program, then moved to the remote thermal weapon sight program and now we’re pleased with how we have been increasing – increasingly capturing this business and are taking leadership position. As always we appreciate your continued confidence and support. We remain pleased with our progress and we’re working diligently to improve the yield and the new kind of tool as well as add equipment that makes sense and we’re very efficient here too adding used equipment mostly that is refurbished, that gives us a great advantage in other areas. So I want to open up the call for questions now. Thank you.
Operator: (Operator Instructions). And our first question is from the line of Steve Shaw with Sidoti & Company.
Steve Shaw – Sidoti & Company: Hi guys, how are you doing?
Andrew Sculley: Hi Steve.
Paul Campbell: Hi Steve.
Steve Shaw – Sidoti & Company: I have to offer a second, so forgive me if I am asking a question you may have answered. What do you – when do you expect contract revenue to sort of have a bigger jump similar to what we saw in product revenue.
Andrew Sculley: It is a good question. Everybody asked us about sequestration, does it affect us? And actually, if you look at our contract revenue, we have seen a decline over the years. However, that said, the sequestration now is turning around and helping us, the government is looking to cancel programs that are not performing and we perform on our contracts. And so, we’ve been asked by some of the folks in the labs that we work with to put together a few white papers on additional contracts. So I think that assuming we win those later on this year, you can see an increase there too.
Steve Shaw – Sidoti & Company: Okay. And then, what percentage of sales for the quarter were going into military products?
Andrew Sculley: Good question. It’s about the same as we have been, Steve, about 75% or so.
Steve Shaw – Sidoti & Company: Okay.
Andrew Sculley: So there is not a significant change from that.
Steve Shaw – Sidoti & Company: Okay. All right. Thanks guys.
Andrew Sculley: Thanks Steve.
Operator: Your question is from the line of Dennis Van Zelfden, Brazos Research.
Dennis Zelfden – Brazos Research: Andrew and Paul, can you hear me?
Paul Campbell: Yes sir.
Andrew Sculley: Yes.
Dennis Zelfden – Brazos Research: Okay, okay. Has the new SNU machine worked perfectly in April and May?
Paul Campbell: Well, word perfectly is a question that I hesitate to say it worked perfectly, we’re still not at the yield of the Satella, we’re working to get there. It’s a big push for us because the volume that we can get after that machine is much better. So we’re still looking to enhance the yield. That said though, remember that we had some significant problems on this tool and we’ve corrected them. We had a chamber that had targets that we’re cracking, they are no longer cracked but that said now what we’re doing is optimizing the chamber, different power settings et cetera, bringing it back up to where it should have been with the spec.
Dennis Zelfden – Brazos Research: Okay. So it hasn’t broken again?
Andrew Sculley: Pardon me?
Dennis Zelfden – Brazos Research: It has not broken again like it did early in the first quarter?
Andrew Sculley: No, it has not broken again.
Dennis Zelfden – Brazos Research: Okay. When do you expect it to be relatively optimized?
Andrew Sculley: Well, I think that this time it’s a number of points below in yield versus the Satella, and later this year we’re going to see it catch up and surpass the Satella. So we’re looking at later this year and we’re having to have it that way. I would intend that the yield will surpass the Satella significantly over time, so we’re going to be optimizing it for a while as well as using the new equipment that I mentioned earlier and the new system to optimize the plant as well, not just the machine.
Dennis Zelfden – Brazos Research: Okay. And my follow-up question is, regarding the EVF, did you tell us why the expected shipment date was delayed until late this year, early next year? If I missed it, can you repeat that?
Andrew Sculley: Yeah, we were looking for a potential we said last time of August date, but really we got too close to the August date so the – our customer had to go with someone else. And the other disadvantage is the August date was going to be a very small running externally. So in this case we’re actually better off to get a large volume internal. And I think the customer is impressed with the color that we’re going to get and that we’re getting.
Paul Campbell: Yeah. Just to be clear on that. We had two EVF opportunities, and we were the first one coming along with the one for August. And we just ran out of time there, but we’re still actively working on the second one which gives us a little more time and it will be shipments for late this year.
Andrew Sculley: And larger shipments, because the internal one is much larger than the external.
Dennis Zelfden – Brazos Research: Okay. But why did you run out of time on the first one I guess. What’s the – what was the problem?
Andrew Sculley: Well, you have to remember that we’re designing our display to go into an internal viewfinder and we’re designing the structure around it and now what the company asked us to do is could you design that for an external viewfinder, and that’s the problem. We didn’t have any design ready for that, the internal one we do. So I think our customer was a little bit – well, little bit optimistic that we could turn this around so quickly. The display itself is okay, but the housing around the display is a problem.
Operator: (Operator Instructions). Your next question is from the line of (inaudible).
Unidentified Analyst: Hi, hello, maybe a follow-up on the margin. So it will improve during the year. Can you give us some flavor about the percentage of margin that you expect to reach maybe Q2, end of the year, I mean will you – do you think you can realistically reach again the 50% margin, 60% that you see, yet that you saw during 2010 or it’s unrealistic for 2013?
Andrew Sculley: The, I think we can reach the margin level and surpass the levels of 50% that we have seen in the past and we’ve even seen over 60% in the past. So yes I think we can get to those levels. The question will be the ramp up of the tool and how quickly that yield improves. So I can’t give you a timeframe exactly on when that will happen, but we expect the tool will run to our original expectations and it will get there at some point, but we can’t really put a date on it right now.
Unidentified Analyst: Okay. And maybe a question related to the digital, SVGA, VGA. Do you expect an improved margin on these versions or not compared to the SVGA?
Andrew Sculley: Certainly, you could argue that it’s a much better product. It should command a better price.
Unidentified Analyst: Agree.
Andrew Sculley: And it’s not more expensive today, but it also depends upon what volume the customers want from us because our prices are volume dependent, as you can imagine.
Unidentified Analyst: Okay. Maybe just to follow-up. Do you now get to produce old display order or do you still have some delayed orders?
Andrew Sculley: Say it again, I’m sorry.
Unidentified Analyst: Sorry. Could you – can you now produce old displays, which are ordered or do you have some delayed orders like Q4 for example?
Andrew Sculley: In that case certainly we’re not in the same shape as Q4 but we still – it would be better for us to have more inventory and I’m sure we could have shipped more on the quarter. But I don’t have that number at my fingertips. So it’s not accurate.
Paul Campbell: Yeah, Raphael, we’re still pretty early in the second quarter. So as far as second quarter goes, we’ll have to see how that plays out between now and the end of June.
Operator: Your next question is from the line of Jerry Rich, Private Investor.
Jerry Rich – Private Investor: Hi, Paul and Andrew, how are you doing?
Andrew Sculley: Good.
Jerry Rich – Private Investor: Congratulations.
Andrew Sculley: Hi, Jerry. Thanks.
Jerry Rich – Private Investor: Paul, my question is how come you haven’t done anything with the buyback, when the stock was down in the low threes? It’s been over six months since you’ve exercised adding buybacks?
Paul Campbell: Right. I think, what happened or part of what happened, it’s a – we did the dividend and so we spent $3 million there. So I think what happened was, we haven’t rushed back in to buy more shares having done the dividend. So that doesn’t mean we won’t use more of the program, but it – I think that explained why we haven’t in the last few months.
Jerry Rich – Private Investor: Thank you.
Operator: (Operator Instructions). Your next question is from the line of Aram Fuchs, Fertilemind Capital.
Aram Fuchs – Fertilemind Capital: Yes, I was wondering if you can just talk about what the milestones you might have with the new deposition machine to really optimize it so we can sort of keep an eye on the specific ones where we assume no one on the buy-side as probably an expert of bringing an deposition tool up to an optimized level. So maybe you can give us a few hints where you’re looking at?
Paul Campbell: Yeah. In this case, the things that I said about the one chamber where the targets were cracking and now no longer are. There are number of things that one needs to do to it. I need to be careful. So I don’t give specific information out to the competitors who are listening to me now. So forgive me for that, but the – such things will do the distant separation for the targets. There is – there are different magnet configurations you need. There is the height of the wafer above the section where there is a plasma and there is also an operating voltage bulb, pulse DC and RF and these are the things that we have to do optimize that chamber. And the other one is there is the some interesting things that we’ve found that our displays even though they are not direct pattern, they have masks, and the masks for this machine are different than the Satella. It turns out that the Korean vendor for the mask can’t make the unique features that we need the small size of some of our features that we need on our displays, yet the U.S. vendor can’t make the attention quite right. So that something that we have to do for the chambers. And then the other thing we need is we need to run it long enough to give statistical process control and that’s an experience thing. So those are two things that we have to fix and we are fixing both of those and so it gives you some feeling for the masks of course affect the other chambers, but SPC is you’ve got to run and you’ve got to record and then change. And I can give you an experience perhaps from my past where we brought up much larger machines than this and produce displays that are still in the back of a camera I own. And that took about a year and nine months to get it a yield that would, we would be – I think was terrible sitting here today. So that’s the type of thing you have to run the machine and report and optimize. So I gave you two specific examples, perhaps too much detail for you and those are two things we’re going to fix but then we’re going to have run the machine and drive the yields up about the Satella. As we mentioned as well, the volume output is outstanding, so that it’s not a problem for us to outpace the Satella, but we really would rather have the yield up and then run that volume.
Aram Fuchs – Fertilemind Capital: Right, right. Great, that’s helpful. Just one follow-up on the previous question, Paul, about the stock buyback. Is there – you haven’t hired that much, there is not that much in CapEx, so cash should start building post the dividend. Is there a working capital level where you’ll say over above X we’ll do something with the dividend or share buyback or is that not something that you want to talk about right now or?
Paul Campbell: Well we can’t. We can’t signal when we would be in the market with the share repurchase plan. So I can’t say if I told – if I said a level or something like that when we got to that level people would assume we’re in the market. So I just can’t do that. Sorry.
Aram Fuchs – Fertilemind Capital: Fair enough. Fair enough. All right. Okay. Thank you very much.
Andrew Sculley: You’re welcome.
Operator: (Operator Instructions). At this time, I’m showing no further questions in queue. I’d like to turn the call back over to Mr. Andrew Sculley for any closing remarks.
Andrew Sculley: In closing, I’d like to let you all know that we’ll be exhibiting at the society of information display, that’s the display we conference in Vancouver from May 19 to 23rd of May and showing some exciting new products in for the market. You remember we talked about a color display today that was 1,000 units. So you please, if you’re in the Vancouver area or you’re a display person take a look at it. And we will also show the XGA display, and so well we’ll be participating in the Sidoti Conference in New York on June 7. And again we hope to see some of you in one or both of those places. And I’d also like to thank the – we have an extremely talented group here that works harder than any group I know and I’d like to thank them personally for getting us to this point to be able to produce these many displays and make a profit in the first quarter. I think this is probably our first quarter that we made a profit that’s what I guess. And I – forgive me if I am not right on that, but I think that’s right. So, and also to bring the new tool to a point where we still need to work a lot on it, we know that, but to bring it to a point where it produces large quantities of displays and to fix those problems we talked about in the past. And the R&D team is making great progress on the new display technology, as well as product development is making great progress on designing new silicon wafers as well. All right. And Paul is helping us keep the cost in control and make sure we’re doing all the right things. So I have to thank him as well. So it’s been an outstanding effort. I want to thank you all for listening to our conference call and please come and see us in Vancouver and New York, and ask more questions. Okay. Thank you very much.